Operator: Good morning. My name is Colin and I'll be your conference operator today. At this time, I'd like to welcome everyone to the AutoCanada Second Quarter 2023 Earnings Call. The 2023 second quarter results were released this morning before markets opened, and you can access the news release as well as the complete financial statements and management discussion and analysis on the website at autocandida.com. The news release, financial statements, and MD&A have been also filed on SEDAR. [Operator Instructions]. Listeners are reminded that certain matters discussed in today's conference call are answers that may be given to questions and asked and could constitute forward-looking statements, which are subject to risks and uncertainties related to AutoCanada’s future financial or business performance. Actual results could differ materially from those anticipated in the forward-looking statements. The risk factors that may affect results are detailed in AutoCanada’s annual information form and other periodic filings and registration statements and you can access these documents at SEDAR database at found at sedarplus.ca. I'd like to remind everyone that this call is being recorded today, Thursday, August 10, 2023.  I would now like to turn the conference over to Mr. Paul Antony, Executive Chairman of Auto Canada Inc. Please go ahead, Mr. Anthony.
Paul Antony : Thanks a lot, and good morning everyone, and thank you for joining us on today's call. We appreciate everybody for joining today and for the opportunity to update you on our business strategy growth and progress. In Q2 AutoCanada's revenue grew 4.2% to $1.8 billion, resulting in $94.1 million in adjusted EBITDA, and that's up 24% year over year and $1.75 in earnings per share, up 32% year over year. These strong second quarter results were driven by the team's focus on operational initiatives, including selling more cars with less inventory, supported by robust market conditions.  These factors allowed us to outperform, despite a 49% increase in finance costs, including a $9.6 million increase in flooring costs over 2022. New light vehicle inventories have begun to replenish, and this coupled with op demand following the pandemic supply constraints has resulted in higher vehicle prices and strong GPU and both new and used light vehicles. Our Canadian new GPU increased by $89 to $5,636 per unit, and our used vehicle GPU grew $601 to $2,320 per unit, because of market conditions and our focus on sales discipline and inventory management. Parts service and collision repair also had robust performance as did our same-store F&I business, which posted its 19th consecutive quarter of growth in gross profit per unit.  We remain focused on growth and profitability and we looked to gain further efficiencies across our entire business. Our model is dynamic and diversified, allowing our operations to adjust to changing market conditions and to serve customers through a variety of channels across a full range of product services and brands. In Q2, our normalized operating expenses before depreciation as a percent of gross profit was 66.8%, and that's a considerable improvement over 70.7% in the same period last year.  This is the second lowest operating expense ratio this company has ever achieved in any quarter, and that demonstrates the effectiveness of the operational efficiencies and initiatives underway that have allowed us to do more with our investment in inventory, technology, facilities, and people while still executing our overall growth strategy.  Our Q2 2023 results were accompanied by a significant achievement, and that's the release of Auto Canada's inaugural ESG report. This comprehensive report reflects our dedication to responsible practices and showcases our commitment to transparency and sustainable value creation for our stakeholders and the communities that we serve. We invite all and every interested party to explore Auto Canada's inaugural ESG report on our website.  I do want to take a moment to thank all of our OEM partners and our entire team for their dedication and hard work, which allowed us to achieve a multitude of company records during the quarter, including a new vehicle volume sold, used vehicle volume sold, and a number of repair orders completed. And that's just to name a few.  With that, I'm going to turn it over to Azim to discuss our financial results in more detail. Azim? 
Azim Lalani: Thank you, Paul. Good morning, everyone. During the second quarter, we recorded sales of $1.8 billion, adjusted EBITDA of $94.1 million, and diluted earnings per share of a $1.75. Sales increased by 4.2% when compared to the same period of 2022, including the contribution from 28 acquisitions completed over the past two years. Our same store revenues, which does not include acquired revenue decreased by 1.8% in the second quarter. Notably, Canadian same-store new retail vehicle unit sales growth was 4.2% during the quarter, marking the second sequential quarter of good growth as new light vehicle supplies continue to normalize.  Our Canadian same-store used retail vehicle units sold decreased by 4.3% in the quarter with a ratio of Canadian used to new retail units sold decreasing to 1.56 from 1.70 last year. During the last 12 months, auto Canada sold 32,505 new retail vehicles and 54,479 used retail vehicles in Canada, a ratio of 1.68 to 1. As you'll recall, when this management team came on board in 2018, this metric was 0.62 to 1 on an annual basis in Canada. As new light vehicle supply replenishes, we expect our used to new ratio to stabilize. We remain focused on growing our used vehicle market share. Given the appealing unconstrained nature of the used vehicle market. Increasing volumes retailed gives us more high-margin sales opportunities through leveraging our best in class F&I department as well as our parts and service footprint through vehicle reconditioning. The U.S. division retailed 1,363 new units during the quarter. However, new gross margins decreased 43.5% versus the second quarter of 2022. Recall that last year the shortage of new vehicles resulted in U.S. dealers selling new vehicles for prices above manufacturer suggested retail price. A practice that is not allowed in Canada and created outsized profitability in U.S. new vehicle sales across the industry. We expect year-over-year GPUs to normalize in our U.S. division as the supply of new vehicles in the U.S. is replenished. Consolidated parts service and collision repair experience strong demand with same-store sales increasing by 17.8%. This translated into healthy profitability in this segment as customers have kept their vehicles longer, requiring more service needs and increased warranty related work. Parts, service, and collision repair gross profits increased by 13.8%, and gross profit percentage decreased to 54.5%. Same-store F&I revenue increased by 4.8%, gross profit increased by 3.8%, and gross profit percentage decreased to 93.4%. These results reflected our selling more products per deal. Consolidated gross profit percentage was 18.1%, an increase from 16.6% in the second quarter of 2022. Normalized operating expenses before depreciation were $213 million or 66.8% of gross profit compared to compared to $198 million or 70.7% of gross profit in Q2 2022. The decrease as a percentage of gross profit resulted from higher, new, and used GPUs, growth in high-margin parts service and collision repair business, as well as the focus on operating initiatives related to cost control and productivity. Adjusted EBITDA was $94.1 million, an increase of 24% over the same period of 2022. While our adjusted EBITDA per diluted share increased by 43% to $3.88 from $2.71. As of June 30, 2023, we had $145 million outstanding on our $375 million revolving credit facility. Other debt also consisted of $350 million and 5.75%, seven years senior notes, and $31 million in non-recourse mortgages on three dealership properties as well as approximately $1 billion in floor plan, which supports our inventory. We also have unrestricted cash on hand of approximately $68 million.  Excluding our floor plan facilities and our lease liabilities, our total net funded debt as of the end of Q2 was $460 million compared to $465 million in Q1 2023. Our total net funded debt to bank EBITDA covenant ratio of 2.08 is down from 2.25 from the last quarter and is well below our 4.0 maximum. We have access to approximately $299 million of liquidity under our revolving facilities and cash on hand as of the end of June 30, 2023. As we move through the upcoming quarters and continue to allocate capital, we expect the leverage ratio to remain consistent.  Our effective fixed rate portion of total debt, including swaps, is approximately 41%. We'll be focusing on opportunities to increase that portion from current levels over the coming quarters to add greater stability to the business given the current rate environment. Our basic weighted average number of shares outstanding was approximately 23.5 million shares as of June 30, 2023, which is an 11.4% decrease compared to the approximately 26.6 million shares as of the end of the second quarter last year.  For the trailing 12-month period, end of June 30, 2023, AutoCanada purchased and canceled approximately 3 million shares for total cash consideration of $82 million at an average price of $27.39 per share. We will continue to use share buybacks strategically when appropriate, while maintaining a solid balance sheet and prioritizing high-value growth objectives.  I will now turn the line back over to Paul to discuss the outlook. 
Paul Antony: Thanks, Azim. The quarter's trend of continuous improvement led to record-breaking performances in May and June across various segments with momentum carrying into July. Our focus over the past five years has been to establish industry leading new used subprime, F&I, and parts service and collision repair businesses, plus a significant real estate portfolio that supports our operations, and we now have multiple levers for growth built into our business model.  Conservative balance sheet management discipline, capital allocation decisions, with a continued focus on best in class performance across all segments remain our priorities. During the quarter, we acquired Premier Chevrolet Cadillac GMC Buick, both the dealership and Collision Center in Windsor, which is a top performing Canadian Cadillac store. On May 1, we acquired London Auto Collision to give us more capacity in that market where our Burwell Collision location is now operating at capacity.  And on May 1, we opened RightRide Edmonton North. This brings our store account to 83 franchise dealerships. One used vehicle auction business supporting the used digital division, 12 right ride locations, three used vehicle dealerships, and 11 standalone collision centers within our group of 27 collision centers. Our M&A pipeline is healthy and the pace of inbound inquiries from potential sellers remain robust. We are beginning to see multiple compression in the private market, and we intend to be very prudent in our capital allocation decisions going forward.  At this time, that kind of concludes our prepared remarks, and I'd like to turn the call over to the operator for Q&A. 
Operator: [Operator Instructions]. Your first question comes from Michael Doumet from Scotiabank. Michael please go ahead.
Michael Doumet: Good morning, guys. I'll start with the obvious. I mean, these are unbelievable numbers with several areas of upside that maybe I'd like to address here. So, the first one, as it relates to parts service and collision, gross profit that was up 20% in the quarter, nearly up 15% organic on top of what I thought was a tough comp. So, can you walk us through what drove the growth? How much is price versus volume? Give us a sense maybe for how sustainable that growth is. 
Paul Antony: So, it's actually there, I'll maybe take a stab at this, but a lot of it was driven. You'll notice that we sold a lot more used cars with a lot less used cars in inventory. And Michael, you and I have had this conversation before. You'll recall that our days to getting these cars to frontline ready was significantly behind where it needed to be. And it still is, but we're getting better. And what we're doing is we're driving more through the shops and actually driving that performance. That has helped to elevate our numbers significantly. And you put that alongside of more people on the roads with older cars. We're now seeing parts service and collision just firing on all cylinders right now. 
Michael Doumet : Any sense, Paul, for the momentum and price? How much that's helping 
Paul Antony: Help me understand that. I'm not sure I understand the question price.
Michael Doumet : Sure, no problem. Just price increases versus volumes. 
Paul Antony: I don't know that it is that much price increase. I think it's the volumes we're really getting way more efficient. Like our dealers are just putting a lot more throughput through the shop, and we're seeing a lot of volume increases, just more people servicing and repairing their vehicles. 
Michael Doumet: Awesome. Second question, and you touched on it a little bit here just on the used business. So, used inventories have declined, day supplies are down to a healthier amount. You also reversed the provision, so that to me signals that there's quite a lot more confidence in the used business, in this transformation. Just so how should we think about maybe some of the next steps going forward as you kind of take that business to where you want it to? 
Paul Antony : So, we're learning a lot. I mean, we were told that, and part of our business plan, that our team was going to become way more efficient at selling used vehicles and getting better at converting leads. And where before, as I think we've talked about this over and over again with COVID, we were more order takers and now we have to get back into the business of selling vehicles, and getting the experience from this management team and this leadership team where they have done this before, and using their best practices to help evolve our already strong used vehicle business has basically poured rocket fuel on the way we think about used cars.  And so, I think for me the highlight is, being able to sell more used cars with 4,000 less used cars in stock, that's going to be a pretty valuable asset to have that skill set and that muscle, while interest rates are rising. There's some other things that are incredibly impressive that I didn't really realize when we started going through the math. When we sell a used vehicle in zero to 30 days, our GPU is roughly $2,300 a car. If you hold that car between 91 days and 120 days, your GPU generally drops to around $437 per vehicle.  And so, you are essentially holding a melting ice cube and so the better and more efficient that we get at selling vehicles early on, just results in higher margin. It results in higher throughput through the shop. We're turning more vehicles faster and clearly, we're paying less interest to actually hold the vehicles we need to sell. And so, there's just so many things that happen as a result of the efficiencies that we're getting out and the learnings that we're getting out from people that have already done this before at a previous firm and actually just imparting, how to do that here it is transformational. 
Operator: Your next question comes from David Ocampo from Cormark Securities. David please go ahead. 
David Ocampo: Thanks. Just wanted to build off Michael's comments there about areas of upside. I mean, if I drill into your Canadian operating expenses, you called out in your prepared mark that did improve quite a bit and you're now running closer to U.S. peers. Just curious if you can dive into what's driving that and if there's a little bit more low-hanging fruit that you and Azim can chip away at?
Azim Lalani: So, what I'll say to you is this, we're not ready to launch this yet to the markets, but we're internally launching our next evolution of what was previously the go forward plan. We will deliver this to you folks probably over the course of the next two to three months. But it, we're actually quite excited about it. We're quite excited about the efficiencies that can come out of the business that we, once we start getting valued where we think we should be, we think that we'll have a competitive advantage to actually go out and acquire other stores in the future.  And so, frankly, I know what you're looking for, David, and you're looking for specifics around the efficiencies that we're going to pull out of the business, but let us deliver that to our team first, and then we're happy to deliver it to you. I will kind of share one thing, it's called Project Elevate and I'm really proud of how this came together with the team. 
David Ocampo: I guess my next set of questions is, our questions are on how you guys are potentially positioning your inventory levels ahead of a potential auto worker strike that could come as early as September. Just curious if you guys can quickly adapt and change how you're sourcing inventory vehicles?
Azim Lalani: You're talking about sourcing used vehicles?
David Ocampo: Yes. Used to offset any potential slowdown and new car deliveries. 
Azim Lalani: So along with that -- contract that we've talked about before, we've been developing muscle within our dealerships and at head office to really strengthen and bolster the way we actually acquire vehicles. And I think, again, that gives us, it is part of our project -- as well, but it gives us a competitive advantage. And we're able to monitor in real-time given the depth and breadth of our data. So, we really know what vehicles are have the highest desirability in what markets and what we need to shop for. And we can predict also as best we can how we can look around corners and see what the next hot vehicle in what market will be. 
David Ocampo: Got it. And then maybe a final one for you, Paul, you talked about multiple compression in the private space. How are you guys balancing that between buying AutoCanada's shares at a valuation that's probably still a turn or a few turns below private comps? 
Paul Antony: Yeah, we don't think that -- we think that AutoCanada is definitely cheap relative to the market. And we think that the market has a way to go the -- I think that what we'll see if I'm predicting that the future given interest rates today, it just gets that much harder for dealers to buy -- or buyers to buy dealerships. At yesterday's prices, you have two things. You have interest rates that have gone up and you have earnings which have kind of come down. And so, for now we've decided to kind of sit on our hands instead of buying stores and get efficiencies out of our business. And we think that if we do that eventually we should get valued where we ought to be valued.
Operator: Your next question comes from Chris Murray from ATB Capital Markets. Chris please go ahead. 
Chris Murray : Maybe thinking about new vehicle inventory a little bit here. So, a couple questions. Are you certainly with the -- what we saw the numbers coming up in terms of volumes? How are you feeling about new vehicle inventory right now at this point? And a couple of additional questions if you wanna touch on that. I think last quarter you talked about there were some issues around mix around, especially around the cost and maybe having not the right mix, too much luxury, not enough kind of lower-end pricing.  But then the other question I have on this is there's been some discussion, at least in the U.S. for some of the brands that have more inventory out there that we're starting to see a return of incentives. So, any color around where you're in inventory, incentives, and niche would be great. 
Paul Antony: So, we haven't seen -- so hi there, and we haven't seen a ton of incentives coming back on at this point in time. The inventory has not come to Canada the way it has in the U.S. as far as mix goes. I think it's starting to normalize now. There are some brands that are not coming back online as quickly as we'd like to see, but I think, the benefit for everybody is to provide more vehicles to reduce the pipeline that we were selling into.  And so, we're not there yet. I think it's definitely improved quarter-over-quarter. And there's some brands that are actually we're sitting with more day supply than we would've expected at this time. But generally, things are starting to come back online. It's not fully there, and I think that there's still a significant amount of pent-up demand that we need to still meet. 
Chris Murray : Okay, that's helpful. And then on the inventory, and I'm not sure who wants to take this one on mute, so you brought inventory you down substantially, but it doesn't seem to impact sales. I think you talked a little bit about you were able to use the parts and service and collision repair business to help maybe accelerate, what needs to move through the system.  But I guess, the $7 million inventory change or gain is that kind of one time as basically if you flush that inventory, you were able to price it better than you thought it was going to be. And so, your net realizable values were higher than you thought they were going to be. So, any color around how that all played out and should we be expecting any further writeups of inventory that you've got on the books at this point? 
Paul Antony: Yes, I would just say, look, we are, it's not a one-time thing. This is something that is sustainable. We are learning to sell cars faster. We are learning to get cars from purchase to frontline available for sale. Our goal is to do it kind of the way our peers do like in the nine-day, 10-day range. And I think we talked, was it last quarter-to-quarter before we were like 40-something days. And that's a problem.  I think, as you'll recall when I just went through that piece zero days to 30 days is $2,289 for GPU 31 -- to 60 days close to $2,291, 61 days to 90 days is $1,339, 91 days to 120 days is $437 in GPU. So, the faster that we can sell that car, the more money can be made on it. And what Jeff and all of our platform VPs, and Brian have been doing, since they've been here is teaching our dealers how to sell cars quicker, and how to get them to the front line quicker. And I'm confident that is sustainable. In fact, I think that we ought to see that get better quarter-after-quarter, and I'm actually very bullish on it.
Chris Murray : Okay. And I don't know [Indiscernible] 7 million, just sort of like one and done or is there anything else? 
Paul Antony : I guess my comment would be that, we've taken a better opportunity to buy better cars, and last year if you recall interest rates were half of what they are today, and we bought cars that were more expensive, and Jeff and his team and our U.S. guys have done a great job of making that shift to better-priced cars that are better suited for consumer preferences. And so, buying better has allowed us to not have to book these large provisions. And so, that $7 million is really a one time that was there last year, but shouldn't be there going forward.
Chris Murray : All right, so just to be clear, there isn't like a $7 million decrease in gross profit this quarter though, just to be clear.
Paul Antony : No, no. 
Chris Murray: Okay. That is only to make sure. Thank you so much.
Paul Antony : Thanks.
Operator: Your next question comes from Luke Hannan from Canaccord Genuity. Please go ahead.
Luke Hannan : Thanks, good morning everyone. Paul, maybe a quick one for you. I don't know if you're able to share this, I think you shared the exact number last quarter, but we'll call it the days to recondition metric. I think it was somewhere in the high-20s last quarter. Can you give us an idea of where it is now?
Paul Antony: I've got so many numbers in my brain. I can't, its better, I guess, I would say that. It's better than it was and we're moving towards single-digits, but it is still currently in the 20s. I don't know, I just don't know exactly what, and I don't want to mislead you. I am excited though that we, I mean, listen, it's a bullseye for us to go after and you can see the knock-on effects that it has as we kind of drive to towards that number.
Luke Hannan : And then my second question here was on Alberta. If I look at the rest of your Canadian portfolio and just looking at same-store gross profit growth, it looks like it was by far and away the, biggest outperformer relative to the other provide provinces where you do business. I'm just curious to know if you can call out anything specific that's driving that outperformance.
Paul Antony: Yes, I think obviously you're aware we have tons of STIs stores, and in Alberta and they've just been performing really well. And I think it was last quarter we were sitting with way too much inventory and so there was a concerted effort that Jeff and the entire team kind of came around to strategy to really move product. And they've just been delivering, like I said, I'm very impressed and excited with this team. And our dealers are the ones that are, while Jeff and the team here are creating the place at the head office. It's the dealers that are executing and it's amazing to watch what they can do when everybody's in sync.
Luke Hannan : Okay. Last one for me and then I'll pass the line. I'm just curious to know how it is exactly your thinking about the wholesale business here. Because that's another area of the business which has been considerably stronger year-over-year.  But Paul, I think I remember you saying in the past that your preference for yourself and your dealers would be to have those used vehicles make their way into the hands of consumers rather than other dealers down the road because the lifetime value to you would be much greater through that channel and through the wholesale channel. Is that still fair? Is that still how you're looking at it? And if so, what are the vehicles that are making their way into the wholesale channel right now?
Paul Antony: So, the way we're thinking about it, and that is still the way we're thinking about it, and the less vehicles we wholesale means, the more vehicles we're retailing. And our goal is to try and wholesale nothing eventually. But again, being pragmatic about it, I think you'd see, again, I'll turn back to the longer we keep a vehicle, the less likely is that that vehicle is profitable with us. And if we're not selling a vehicle within 120 days, it's because the vehicle's priced wrong or at the wrong location. And so, it's our job to figure out what location that vehicle needs to go to and put it at the right price. And if we do not have the outlet to sell that vehicle, it needs to go wholesale. The good news is that as our dealers are getting better at selling vehicles and converting more leads, we see that number going down.
Luke Hannan : Sorry, one other quick one before I pass the line. Azim maybe one for you. Last quarter we had asked about maybe potentially getting a CapEx number, a near-term CapEx number. I'm just curious to know if you have that for us because I did notice in the M&A it does mention that growth CapEx should stick up from where that four-year average has been. 
Azim Lalani: The only thing I would say about CapEx, it's really tough right now with electrification going on. It's really tough to put a pin on how much money needs to be spent. We have one building that we're doing a redesign on. By the time we had our architects design what needed to happen, there was another image change. And so, it's so difficult with to predict exactly how much money needs to be spent on CapEx because things are very fluid. I think, I don't know if you saw this, EVs are not selling anywhere near as well as the government would like us to sell them.  And so, we just need to be very, very mindful of how we're spending our money and in facilities, making sure that we have everything up to standards, but also being having high confidence that this is -- that a remodel that needs to be done will last the term that it's expected. And so, I don't think that we want to necessarily put out a more than that at this point. 
Luke Hannan : Okay, thank you.
Azim Lalani: Thank you.
Operator: Your next question comes from Tamy Chen from BMO Capital Markets. Tamy, please go ahead. 
Tamy Chen : Thanks for the question. I just want to talk about firstly the overall results. If I look back and think for a couple of quarters, I think there's been some volatility, like I think Q4 and Q1, you had some challenges and I recall on the Q1 call, Paul, you were talking about how the ongoing efforts, for example, to continue improving reconditioning time and also OpEx efficiencies was going to take a bit of time. But the Q2 numbers are very strong and surprisingly, I guess how quick that's been.  So, can you talk a little bit more about that? Is this truly all coming from just much faster than you had expected efficiency gains from the team? Or would you say in Q2 a lot of it would help by what's going on in market conditions? 
Paul Antony : I would say if I remember what I said, and I hope I'm re-quoting myself, I think I said that there's still a lot of fruit out there. It's just not low hanging. And so, I would say that there's a significant portion of it that the market has helped us outperform. And you just can't we -- as great as I think we are, and I think we are great. The market has certainly helped us, but there's been margin improvements because this is the beginning of the next chapter's journey for AutoCanada.  And there were a lot of things that weren't in place, just disciplines and processes that we didn't know and that were hard to put in place over the immediate term. But once in place, you start seeing, you start seeing results immediately. And so, I'll give you a great example. When we got into the used car business five years ago the previous team did a great job. They had dealers stock the proper amount of inventory in their lots. We taught them how to sell used cars. We did practice seminars with trainers and so on and so forth.  They did a wonderful job selling used cars. Interest rates were low, so it wasn't that important to turn vehicles as fast, because the cost of money was so much cheaper. And so, in order to sell more cars, we would buy more leads, and buying leads got to be kind of a bit of an addiction. And frankly, it was just a means to an end. And so, when this management team got here and realized how many leads we were actually using to go and sell the volume of cars we were selling, the efficiencies just were not there.  And so actually teaching our dealers and learning from our best-in-class dealers, how they sold more cars with less leads was just as an example, a great learning for the rest of the organization and something that could be utilized by the rest of the company where the lower performers were able to kind of rise to the occasion.  And so, there's again, just a bunch of these efficiencies combined with market conditions that have allowed us to outperform. There's still a lot more to be had. It's a great point out, as rough as it was last quarter, and the quarter before that, the call out that our OpEx was so high I'm really proud of Jeff and the team here. They brought this OpEx down to the second lowest level it's ever been in the history of this entire company. And they did it in pretty short order. There's a lot more to go get. 
Tamy Chen : Thanks. And so, was the strength in the used vehicle GPU was that all due to the fact that you are improving the reconditioning time? Because if I looked at some of the industry data, I don't really see that used vehicle pricing has increased during this period. At best it kind of stayed flat, but you had a very strong GPU. 
Paul Antony: Well, I think if you recall, what I've said now, a couple of times on this call, the faster you turn the car, the higher the gross, the more you -- the longer you hold the car, you're basically holding a melting ice cube. And so, our goal is to sell that car as quickly as possible to maintain gross. And the way we do that is by reconditioning the car faster. The faster we recondition the car, the faster we have the car to the front line, the better our people are at selling them, and the more that we keep on having the flywheel go around. 
Tamy Chen : Right. Okay. Yes, I just wanted to confirm that that was the key driver here. Okay. And was this -- is this a bit of a change in your outlook, whether near-term or medium-term on used volume? I think Azim you mentioned you expect the used new ratio to stabilize as new supply comes back. I think that's what I heard. And I believe last quarter the expectation was that the ratio was going to continue to be strong even though new supply will gradually come back. 
Azim Lalani: So, two things, when the denominator goes up, right, it makes it that much tougher to keep that same ratio. And so, as you're correctly pointing out, the more new cars we have, the more used cars we're going to need to sell to keep that ratio going. With that said, the benefit that we have opening up right ride locations and having that help alongside of what we're doing, we're actually excited at the potential for selling more used cars.  But we did see compression on that ratio, because of the increased number of new cars we're pushing into the system. But we still see the opportunity there. 
Tamy Chen : And sorry, just squeeze one last question in here is how can your new vehicle, same-store volume, involve as well as your GPU? For example, like you were think first of all, that they kind of go in inverse. The U.S. dealers certainly reported that this quarter, but for you this quarter, both of them were up.
Azim Lalani: Yes, I think that in the U.S. they're selling above MSRP because it was a shortage of vehicles. We don't have that luxury or that curse depending on the time of, when we're looking at us. We're not able to sell above MSRP here in Canada. So, we actually, we just sell at a pretty consistent level. We're selling, there's still a shortage of cars and we can keep pretty tight to MSRP here. 
Operator: Your next question comes from Krista Friesen from CIBC Capital Markets. Krista, please go ahead.
Krista Friesen: Hi, thanks for taking my question. I was wondering if you could just maybe speak to EVs a little bit more high level. Does it sound like they're selling quite as fast as, as maybe the OEMs had thought they were going to sell? Just wondering what you're seeing in terms of sales and also what you're hearing from the OEMs in terms of investments they're wanting their dealers to make.
Paul Antony: I think I might just hold tight on that. I don't know that it is as fast as the OEMs would like to see, like if you look at today's headline on automotive news in the U.S. It says EV stockpile is evidence of growing pain, not demand dip experts say. And so, we're not sitting with a ton of EVs thankfully, in our inventory. I think that and I said this over and over again, this is my opinion.  I think that EVs are A solution. I don't know that they are B solution. And as technology is increasing, like I see Cadillac had just come out with the new Cadillac Escalade IQ and it looks lovely and it's 450-mile range, which is roughly 750 kilometers. That's the ranges on these things are increasing and technology is advancing at a pretty rapid pace.  I think at some point that, this will take hold and you will see adoption at a much higher level, but charging got a long way to go, we don't have the infrastructure currently to support it. And so, I guess I'm just not as bullish on EVs at this point in time, just given our resources. And I think it's just, there's too much to be determined. And so, when we talk about putting in charging stations at our dealerships and some of the dealerships, you need to have the power coming from the grid.  And in order for do to do that, you have to have the power companies to be able to supply the power to the dealership. But they'll tell you if there's not enough power into the grid, you might have to wait two to three years. I just think that we're not ready, like I don't think that all markets are ready for this. And so, I think it is a varied case by case situation when we talk about our stores. Does that make sense? 
Krista Friesen: Yeah, absolutely. I appreciate the color. And I turn back in the queue. Thank you.
Operator: There are no further questions at this time. I'll turn it back to Paul for closing remarks.
Paul Antony: Listen, it's always wonderful to have a wonderful quarter, but that wonderful quarter took a lot of wrangling by this team and changing the way we look at the business here in Canada. And I just - again, I want to thank our entire team across North America for delivering these results.  I'm so proud of everybody and we look forward to making a bunch of announcements here over the course of the next several months, including giving you more visibility into Project Elevate, which includes all parts of our business from the use digital to our new car sales, used car sales parts and service, business intelligence. I'm really excited and so we'll look forward to talking to everybody at the next quarter. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.